Operator: Hello, my name is Chris, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the MediaAlpha Q1 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Denise Garcia, Investor Relations. You may begin.
Denise Garcia: Thank you, Chris. After the market closed today, MediaAlpha issued a press release and shareholder letter announcing results for the first quarter ended March 31, 2023. These documents are available in the Investors section of our website, and we will be referring to them on this call. Our discussion today will include forward-looking statements about our business and our outlook for future financial results, including our financial guidance for the second quarter of 2023, which are based on assumptions, forecasts, expectations and information currently available to management. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from those reflected in those statements. Please refer to the company’s SEC filings, including its Annual Report on Form 10-K and its quarterly reports on Form 10-Q for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. These forward-looking statements are based on assumptions as of today, May 4, 2023, and the company undertakes no obligation to revise or update them. In addition, on today’s call, we will be referring to certain actual and projected financial metrics of MediaAlpha that are presented on a non-GAAP basis, including adjusted EBITDA, which we present in order to supplement your understanding and assessment of our financial performance. Non-GAAP measures should not be considered as a substitute for or superior to financial measures calculated in accordance with GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our press release and shareholder letter issued today. Finally, I’d like to remind everyone that this call is being recorded and will be made available for replay via a link on the Investors section of the company’s website at investors.mediaalpha.com. Now, I’ll turn the call over to Steve and Pat for a few introductory remarks before opening the call to your questions.
Steve Yi: Hey, thanks, Denise. Hi, everyone. Welcome to our first quarter earnings call. I’d like to make a few observations before turning the call over to our CFO, Pat Thompson for his comments. As we discussed in our shareholder letter, after a strong start to the year, our largest P&C carrier partner sharply pulled back their marketing investments in light of renewed profitability concerns. As a result, we expect the inevitable market recovery in our P&C vertical to be pushed back several quarters relative to our prior expectations. We responded to this unexpected change in our near-term outlook by making a difficult but necessary decision to reduce our workforce by 16%. As a result, we’re guiding to positive adjusted EBITDA in Q2 despite an expected 40% to 50% year-over-year reduction in P&C transaction value and the typical seasonal slowness in our health insurance vertical. While the magnitude and duration of the P&C hard market cycle have been frustrating for us, both as the management team and as significant shareholders, we remain confident in the fundamental competitive advantages of our marketplace model and our ability to capture an increasing share of the multibillion-dollar opportunity across all of our insurance verticals. We will emerge from the current P&C market downturn with a stronger and more efficient organization, which will, in turn, enable us to generate significant operating leverage as our top line results recover. With that, I’ll turn the call over to Pat.
Pat Thompson: Thanks, Steve. We delivered a solid first quarter with results above the mid-point of our guidance ranges across all metrics. This outperformance was driven by 108% quarter-over-quarter transaction value growth in our P&C vertical, which was slightly ahead of the roughly 100% sequential growth expectation we discussed on last quarter’s call. Moving to our Q2 guidance. As Steve mentioned earlier, we expect P&C transaction value to decline 40% to 50% year-over-year. In our health insurance vertical, we expect transaction value to remain roughly flat year-over-year. And in our life and other verticals, we expect transaction value to decline at a similar rate to Q1. As a result, we expect Q2 transaction value to be between $107 million and $122 million, a year-over-year decrease of 37% at the mid-point. We expect revenue to be between $74 million and $84 million, a year-over-year decrease of 24% at the mid-point. Lastly, we expect adjusted EBITDA to be between $500,000 and $2.5 million, a year-over-year decrease of 67% at the mid-point. We expect our recently initiated workforce reduction to result in approximately $6 million of annual cash expense savings. We are therefore projecting operating expenses after adjusted EBITDA add backs to be approximately $1.5 million lower than Q1 levels and to remain at these levels in Q3. I’d now like to touch on a couple of housekeeping items related to our adjusted EBITDA add-backs. First, we expect to add back roughly $1.3 million of cash severance in Q2 related to our workforce reduction. Second, in Q1, we added back $300,000 of legal fees related to the ongoing FTC inquiry, and we expect to incur a similar to slightly higher amounts for the next few quarters. We believe we have been and remain fully compliant with all laws and regulations, and we are cooperating with the FTC as they continue their inquiry. We are adding back both of these items as we believe they do not reflect the ongoing operating performance of the business. Turning to the balance sheet. We are focused on reducing net debt and expect to continue to be in compliance with our debt covenants. We generated positive cash flow from operations in Q1 and due to our transaction-based revenue model and low capital requirements. We expect cash flows to improve sharply and in line with adjusted EBITDA coming out of the P&C hard market cycle. With that, operator, we are ready for the first question.
Operator: Thank you. [Operator Instructions] The first question is from Michael Graham with Canaccord. Your line is open.
Michael Graham: Thanks for the color on the quarter, guys. Maybe just reflecting the shareholder letter and you talked about how we had a major carrier returning to spend. And then in the last days of March, sort of saw higher loss ratios. Can you just maybe go a layer deeper in terms of like what do you think is going on at the carrier level and just any more color you can share on sort of like what you see as the cadence within P&C as we move throughout the rest of the year here?
Steve Yi: Yes. Hey Michael, this is Steve. So I’ll take that question. So I think that really, the pullback by this major carrier who believe that they had achieved rate adequacy. I think is an indication of, I think, how unusual this hard market cycle is and how uncertain the current underwriting environment remains. And so I think it’s difficult to foresee and I guess, predict exactly like when they’re going to return to the marketplace. I think based on their comments and our discussions with them, I think our best estimate is that they’ll come back into the marketplace two to three quarters from now as they get more comfortable with what their profitability looks like for the remainder of the year. And so really, I think what we’re seeing is just the magnitude of this hard market cycle and the lingering inflationary pressures that insurance carriers continue to face. And so I think overall, what that means for the P&C market recovery is that it’s very likely going to be delayed a few quarters from what our original expectations were. But I would like to remind everyone that the Q1 results that we had, right? And the growth investments that we saw from this carrier, which were immediately back to normal historical levels, right, when they felt confident about their profitability is a sign that when the carriers get comfortable with where the rates are and the stability of the underwriting environment, that these growth investments and namely investments into our marketplace to acquire new customers and policies will return quickly and can return very sharply. And when that’s matched with the heightened shopping behavior of consumers, you saw in Q1 exactly what happened that carrier question posted record policy growth numbers during Q1. And so when the market does turn and these advertising budgets come back, we expect to see a sudden influx of investment from these carriers, which will then meet the heightened shopping that we see from consumers as their rates have gone up 15%, 20%, 25%.
Michael Graham: Okay. Thanks, Steve. That’s helpful. And can I just ask a follow-up on the – when you think about on the health side, when you think about the Medicare products, and has there been any structural change there? There was some chatter during the quarter regarding some regulatory changes that would make it more difficult for bidding activity to happen and might end up being a factor for businesses like yours as we get into open enrollment later in the year. Can you just maybe talk about are you seeing any changes on that front?
Steve Yi: Yes. Hey Michael, this is Steve again. I think what you’re referring to are some of the new CMS regulations around how you can market Medicare Advantage policies. And so there were final rules were released I think in April of this year. Even though the final rules have been released, it’s a little too early to say exactly what the impact is going to be in our marketplace. And that’s because there’s some interpretation that’s needed from these rules, particularly as to figure out exactly how that’s going to apply into an online advertising environment. And so at this point, we’re working really closely with all of our major partners and most notably our major carrier partners to figure out exactly how these rules will be interpreted and applied to the online marketing context. Now I think with that said, I think just seeing these rules and based on our early discussions with these carriers, we’re optimistic about the limited impact that we expect us to have in our upcoming enrollment period. I think what’s foreseeable is that there may be some downward pressure in pricing for outbound data leads. Namely leads that are purchased by brokers and carriers that to call out on consumers who are interested in Medicare, depending on the interpretation of a 48-hour waiting period requirement and whether that’s a set to actually apply to these data leads. And so notwithstanding that, we don’t expect a lot of impact on the two primary ad products that we have in our marketplace, which are inbound calls and clicks. And in fact, if we do see some downward pressure and lower demand for these data leads, we could very foreseeable fee increased pricing for inbound calls and clicks, which would be actually overall a net positive for our marketplace. Yes.
Pat Thompson: And this is Pat. I’ll just add one thing to what Steve said, and he hinted at it, but the outbound data leads are a very, very small percentage of our overall banker business.
Michael Graham: Okay. Great. Thank you, guys.
Steve Yi: Thanks, Michael.
Operator: The next question is from Daniel Grosslight with Citi. Your line is open.
Daniel Grosslight: Hi guys, thanks for taking the question. I want to kind of stick with that line of questioning on the 48-hour rule in Medicare Advantage. So you think you’re understanding that the 48-hour rule will not apply to incoming calls, it’s just to outbound calls that it will…
Steve Yi: Yes. Hey Daniel, sorry to interrupt you. Yes, I mean that’s just our interpretation. That’s the interpretation that we’re getting from our partners, again, including our health insurance partners. And so it’s something that actually we’re working through and we’re trying to get clarity on. But initially, that is the interpretation that most in our space have taken.
Daniel Grosslight: Got it. Okay. And I guess, if it were to apply to both inbound and outbound calls, I wonder how much flexibility you have right now to kind of turn off the Medicare Advantage or not necessarily turn off, but transition away from the Medicare Advantage product into other products, which might not be subject to the rule like Medicare supplement and ancillary products. And then obviously, you have an under 65 segment, which may do well amid potential redetermination this year. So I’m just curious how you’re thinking about the potential shift away from Medicare Advantage should those rules be more onerous than originally thought?
Steve Yi: Yes. Honestly, I don’t know that there’s a lot of controversy around whether or not the 48-hour waiting period requirement would apply to inbound leads. We haven’t spoken to a single health insurance carrier who’s going to interpret it that way. And ultimately, in terms of how these rules are initially interpreted and how the whole industry will be able to move forward with under these new requirements, it will be based on exactly what the major carriers interpretations are. And so with that said, if there is an interpretation that goes against what our and industry’s expectations are, I mean, certainly, we have a strong presence in under 65. We do have some partners who focused on Medicare who are worried about the potential impact of these new marketing regulations on data leads. And so some of those partners are starting to shift to other products like Med Sup as well as under 65 health insurance. And so I think the whole space and us in our marketplace will be able to pivot to other areas that won’t be impacted by these regulations. But again, I think that in terms of how the rules – new marketing rules will be interpreted, I think there’s a very, very low likelihood that, that waiting requirement will be interpreted to apply to inbound calls.
Pat Thompson: Yes. And Dan, this is Pat. The other thing I would add to that is that a healthy chunk of our overall Medicare business is clicks as well. And I think there’s really no rational interpretation you can take any of the regulations that would really change the ability to find policies from clicks in a timely manner. So I think our view is that portion of the business has performed well over time as more consumers go online and particularly hold their consumers get comfortable going online, and we believe that’s a trend that will continue in the years to come.
Daniel Grosslight: Got it. And last one for you. On another regulatory issue, a bit broader in scope. But a few months ago, the FCC proposed in rules that would effectively make your supply partners more clearly and conspicuously display. How they’re going to use the data that they collect from potential beneficiaries. I’m curious, one, do you know what rules I’m referring to here. And I’m curious what impact, if any, those rules, proposed rules may have, should they be finalized in their current for?
Steve Yi: Hey, Daniel. It’s Steve. I don’t know that I know the specific rules that you’re referring to. But in terms of just the disclosures that need to be made by our publishers and our owned and operated sites in terms of what will – how data will be used. I mean, whether or not the current regulations are clear enough, I mean, we certainly strive to make that very clear to all consumers coming to the site. I do think that any new regulations that come about making those disclosures even clearer. I don’t have too many concerns about the ability of the participants in our marketplace or our owned and operated team to be able to make those clear disclosures while maintaining conversion rates. And so again, I’m not knowing exactly what you’re referring to in the magnitude of the changes that are required. It’s not something that worries us a lot and these things tend to happen with some regularity, particularly within the lead generation space.
Daniel Grosslight: Got it. Very helpful. Thank you.
Steve Yi: Sure.
Operator: The next question is from Ben Hendrix with RBC Capital Markets. Your line is open.
Ben Hendrix: Hey, thank you very much. You’ve really answered my question. It’s all about the 48-hour rule, but just I know one of your partners, eHealth talked about potential for further rationalization in the market. I’m just wondering if you had any thoughts – any early thoughts, kind of different thoughts on how this might impact the e-brokers versus the carrier partners and if there’s anything that applies differently to the two groups? Thanks.
Steve Yi: Yes. I mean I think that – okay, so again, I think if the 48-hour waiting rule rating requirement– waiting period requirements, sorry, it’s deemed to apply to third-party leads better purchase. That would have a disproportionate impact on the broker universe because that broker universe is the one versus carriers that is who tend to buy more third-party leads for their call center agents to dial out on. I think with that said, I think that with a lot of the cleanup that happened with the e-brokers and looking at the lifetime value of the policies that they’re selling. One of the channels that they cut were these third-party leads. And so I mean, I think that there will be some impact on the e-broker universe and certainly greater than that on carriers. Carriers typically don’t buy leads to dial out on. But I think even that impact based on how much they cut back on these types of marketing channels, I think will be relatively limited for the brokers as well.
Pat Thompson: Yes. And I would just add, probably two things to that, which is, as a reminder, and I think we’ve talked about this on prior calls that we have a healthy mix of demand from both carriers and brokers and the carrier piece has been growing at a faster clip pretty consistently over the last three, five years, and that’s a trend we bet on continuing. And the second thing I would say is that brokers do clearly meet a consumer need and that’s when you get into comparison shopping across plants where you go, I don’t know if I won’t carry your A or carrier B or carrier C. And so I think there are a lot of prognosticators that have different views on what the future looks like for brokers, but they are, and we believe will continue to remain an important part of the overall ecosystem.
Ben Hendrix: Thank you very much.
Steve Yi: Sure, Ben.
Operator: [Operator Instructions] The next question is from KBW. Your line is open.
Tommy McJoynt: Hey guys, this is Tommy McJoynt at KBW. Thanks for taking our questions here. Looking on the P&C insurance side, can you guys give us your latest thoughts about how the MediaAlpha fits competitively against some of the other lead generation and customer acquisition offerings from other companies? And do you think that your platform is in any way better positioned to weather this downturn or to better capitalize on the eventual rebound in advertising budgets?
Steve Yi: Yes. Thanks for the question. I think competitively, where we sit is, vis-à-vis our competitors or most of our competitors, we’re a marketplace model, and that’s really what differentiates us. So we have hundreds of supply partners who we connect with insurance carriers, and we connect them with insurance carriers primarily for the national advertising budgets that they have. And so these are the other companies that are more straight lead generators while they rely on these national click budgets from carriers, they also rely on lead budgets that agents have. And as we’ve mentioned before, these lead budgets from agents tend to hold up relatively well during these hard market periods. And so in terms of just the overall downturn and I guess, the decline of national carrier budgets. I mean, certainly, we’ve been more impacted by that than some of our competitors have been. And so I think with that said, I think one of the things that we’ve talked about in the past is that when the recovery happens, right, it will happen with the rebound and the return of these budgets from carriers, right, not necessarily through additional spend from agents for leads. I mean that stays relatively constant. So it doesn’t go down during hour market periods, but it also doesn’t go up very much in soft market periods. And so our focus on remains really with – working with these carriers to be ready for the day when these budgets return, and we certainly expect to outgrow our competition right, with our marketplace model because that’s also demonstrated its ability to really scale up very quickly, right, because it’s a network of hundreds of third-party supply partners. And so we fully expect coming out of this hard market to outgrow our competition and that’s exactly what happened coming out of the last to market cycle as well.
Pat Thompson: Yes. And I would just add one thing to that, which is the Q1 numbers, I think, give you a kind of a sneak peak of what a recovery, what the ultimate recovery could look like. And we grew transaction value of P&C 108% sequentially from Q4 to Q1, and that was driven almost totally by just one major carrier leaning back into marketing. And I think it’s not a stretch to say when the carriers get to kind of underwriting results that they’re comfortable with, which would probably term this breakeven or profitable. We would expect them to lean in on marketing. And we would expect to see significant upticks in all of our financial metrics with probably disproportionate growth in EBITDA. And I think the Q1 transaction value was down about 20% year-over-year and EBITDA was up. And so we’ve kind of leaned up the cost structure, and we’re ready to take advantage when that happens.
Tommy McJoynt: Thanks. And along the same lines, obviously, always tough to do a workforce reduction. Do you guys think of that reduction as more permanent or something that you would perhaps need to rehire some capacity to the extent there is a rebound sooner than expected?
Steve Yi: Yes. Thanks for that question. Yes, I mean, I think it’s hard to do a reduction. But certainly, we focus primarily on roles that weren’t revenue generating. And we were careful to do two things. One is to make sure that we were able to continue to invest in key areas, let’s say, such as our health insurance business and most notably, our Medicare product, Medicare sub-vertical. And we are also very careful to make sure that we had our core P&C capabilities intact so that we can continue to work with carriers and be ready for when the rebound does happen so that we can work with them on their growth plans when the market does turn in three quarters or so. And so in terms of the roles that were cut in whether or not we need to replace them, I mean, certainly, I don’t think that that’s something that we’ll need to do in the near-term. It might – some of the selective roles, I mean certainly, it’s foreseeable that in nine months’ time or 12 months’ time that we’ll start to look for people to fill those roles again, as we think a little bit more towards the long-term. But I think generally speaking, I think we can certainly grow back with the P&C market with the current team that we have, right? Our current team is continuing to invest in all the important areas that we have. And so – so in terms of the near and midterm, we don’t see any need to really replace any specific role. But as we grow, it will be dynamic, and we’ll start higher again when the situation improves.
Tommy McJoynt: Makes sense. Appreciate the answers.
Steve Yi: Yes. Thanks.
Operator: We have no further questions at this time, and that will conclude today’s conference call. Thank you, everyone, for participating. You may now disconnect.